Operator: Good morning, ladies and gentlemen. Welcome to the La-Z-Boy’s fiscal 2010 fourth quarter and year-end conference call. (Operator instructions) It is now my pleasure to introduce Ms. Kathy Liebmann, Director of Investor Relations for La-Z-Boy Incorporated. Thank you, Ms. Liebmann, you may now begin.
Kathy Liebmann: Thank you, Rob. Good morning everyone. Thank you for joining us to discuss our fiscal 2010 fourth quarter and year-end’s results. Present on the call this morning are Kurt Darrow, La-Z-Boy’s President and Chief Executive Officer; and Mike Riccio, our Chief Financial Officer. Kurt will begin today’s call, and then Mike will speak about the financials before turning the call back to Kurt for his concluding remarks. We will then open the call to questions. As is our custom, the time allotted for this call is one hour. A telephone replay of the call will be available for one week beginning this afternoon. These regular quarterly investor conference calls are one of La-Z-Boy’s primary vehicles to communicate with investors about the company’s current operations and future prospects. We will make forward-looking statements during this call, so I will repeat our usual Safe Harbor remarks. While these statements reflect the best judgment of management at the present time, they are subject to numerous future risks and uncertainties as detailed in our regular SEC filings. And they may differ materially from actual results due to a wide range of factors. We undertake no obligation to update any forward-looking statements made during this call. And with that, let me turn over the call to Kurt Darrow, La-Z-Boy’s President and Chief Executive Officer. Kurt?
Kurt Darrow: Thank you, Kathy, and good morning everyone. Yesterday afternoon we reported our fourth quarter results for fiscal 2010. For the quarter we earned $0.26 on a sales increase of 9.2%. For the year we earned $0.62 on a 3.9% decline in sales. From an operating environment perspective, fiscal 2010 was undoubtedly one of the most challenging years our company has faced at its 82 year history. However, it was also the year when the transformation of our company came to fruition. Our performance for the full year, where we generally outpaced our peer group demonstrates the success of our strategic initiatives, La-Z-Boy’s resiliency in a difficult market, and our ability to adapt to change. Today, we are a much stronger company, one that is equipped to operate in the dynamic marketplace and one with a focus on growing the top line profitably. Before going through a review of our operating segments, I would like to take a moment to the recap a number of the strategic initiatives and changes our company has gone through over the past several years to give you a context or perspective for our operating structure today. In addition to our focus on lean manufacturing, thriving in this environment is also dependent upon the ability to be nimble and be willing to make difficult decisions. As I mentioned earlier, the ability to adapt is critical in the furniture industry. The business has undergone a sea change over the past decade, and not only does it differ from what it once was in terms of the way we manufacture and sell furniture, but in 10 years it probably won't look like it does today. I have to credit my team for embracing the challenges, developing creative solutions, and adapting our business to what is and what will continue to be a new landscape. We made significant changes to our operating structure, most notably the conversion of our La-Z-Boy branded facilities to the cellular production process. We changed the way in which we source component parts to ensure our domestic facilities remain competitive. We sold off non-core companies in order to focus on the La-Z-Boy brand, the growth engine of our company, and we transitioned our Casegoods business to be primarily an importer, marketer and distributor. At the same time, we acted quickly 18 months ago, when the experienced a precipitous decline in our order flow based on macroeconomic factors, and we reduced our operating cost significantly. Additionally, we are expanding our company owned distribution center system to serve as independent dealer stores, which I will discuss in more detail in a few moments, and over the course of the past 16 months we opened our Mexican cut-and-sew operation, moving the cut-and-sewing operation for our custom order business to that facility. And finally, we have made comprehensive changes to our retail structure to improve its performance. These combined moves completely changed the complexion of our company, but were essential to long-term success and profitability. At the same time, we strengthened our balance sheet by reducing our debt and increasing our cash position as well as the availability on our revolving line of credit, all to ensure we have the ability to maneuver our way through the changing economic scenarios. And finally we believe the strength of the La-Z-Boy brand built over the last eight decades contributed to our recovery this past year. La-Z-Boy is the best-known brand in the furniture business, and consumers tend to return to brands they know and trust in difficult economic times. Now let me spend a few minutes talking about our operating segments and their performance for the fourth quarter before I turn the call over to Mike. First, our Upholstery segment, for a quarter our sales increased 12.2% to 241 million, and we posted an operating margin of 11.9%. For the full year on relatively flat sales, our operating margin in the segment was 10.7%. While all three of our Upholstery companies contributed to our results, our operating margin performance was fuelled primarily by the efficiencies obtained from the cellular production process implemented throughout our La-Z-Boy branded facilities. Cellular has increased our speed and quality, while lowering our cost considerably from the elimination of indirect labor and the improvement of productivity per employee. Although a capital intensive project, it took almost 3 years to implement, its benefit is clearly evident in our results, particularly in this lower volume environment which we are experiencing. Our Mexican cut-and-sew, which is assembling cut-and-sewing kits for our custom order business is now substantially transitioned. We expect a steady build up savings throughout fiscal ’11 when the operation fully ramps up production. Annualized savings are expected to be in the range of 15 million to 17 million based on today's volume. I have talked in the past about the expansion of our regional distribution centers to include many of our independent dealers. Last month, we opened our fifth regional distribution centre in Southern California. It replaced three independent dealer warehouses, two in Los Angeles and one in Las Vegas, and is servicing 23 stores. Today, our five regional distribution centers have eliminated or will eliminate 29 either company owned or dealer owned warehouses. Although there are upfront expenses associated with opening each new DC, it is a strategy that benefits both our dealer base and the corporation long-term and is a necessary investment. By integrating the dealer owned and operated stores into the La-Z-Boy regional distribution system, the dealer will no longer need to allocate time and resources to the back office aspects of the business, including warehouse, delivery and service and will also benefit from having the ability to pull from a larger base of inventory. The La-Z-Boy will have greater insight into real-time written orders among the dealer base, while improving our accounts receivable. Over the course of the next 3 to 4 years we expect to have 8 to 10 regional distribution centers throughout North America. For the fourth quarter, our same-store written sales for the La-Z-Boy Furniture Gallery system increased 2.5% the second consecutive quarter where we have experienced a positive comp. While it is too early to predict any type of real recovery given various macroeconomic headwinds, we are encouraged by this performance and believe it is reflective of our brand strength and the advertising and marketing support we have continued to dedicate to both the brand and our base of stores. With many regional players and smaller franchise stores closing their doors, our marketing platform is working to drive traffic to the store system. Now let me turn to our Casegoods segment. For the quarter, sales declined by 4.5% and for the year sales in the segment decreased 17.6%. Although we posted a significant volume decline for the full year, we essentially broke even posting a small operating loss. This business continues to be more heavily impacted by the overall macroeconomic environment. The casegood is typically sold in groups, complete bedroom or dining room. The selling ticket tends to be higher than for Upholstery, where it is easier for the consumer to purchase one or two pieces at a time. As such, the consumer continues to postpone purchases of Casegoods in this environment. On the cost side of this business we continue to make changes to run the segment more effectively. Over the course of the year, we consolidated our two remaining Casegoods facilities into one, and in April we moved out of the leased warehouse facility into a company owned building. These moves are expected to save the company $5 million per year, a portion of which was realized in the second half of 2010. Additional in the fourth quarter, we combined our American Drew/Lea operation and our Hammary operations to provide our customers with a one-stop shopping experience for all Casegoods, including bedroom, dining room, youth, home office, and occasional furniture while enabling us to strengthen our sales, marketing and merchandising teams under one umbrella. And finally turning to the retail segment of our business, we continue to improve our performance, and during the quarter reduced our loss from the prior year by 2.6 million or 36%. For the full year, our loss declined by $15 million or 43% on a 4.5% sales decline. This is a testament to the many changes our management team has implemented throughout the business to reduce cost and improve our sales performance even in the difficult environment. For the quarter, our sales were up 2.1%, which we believe is reflective of new tools and strategies being utilized by our sales teams combined with our strong branded marketing platform driving traffic to the store base. During the fourth quarter, we increased our margins as well as the average ticket over the prior year period, which translated into a slightly stronger performance. Although we are pleased with the way in which our results in this segment are improving, there is still much work to be done. Our team is working to increase sales so that we can make this segment profitable. In addition to focusing on increasing the close ratio and average ticket, we are working to build our in-home design business, which presents a significant growth opportunity for the business. Once the economy strengthens, increased volume in this segment will also benefit the overall company given the wholesale margins our Upholstery segment will earn as it sells into our retail group. And now I will turn the call over to Mike to discuss the numbers in more detail.
Mike Riccio: Thank you, Kurt. For the fourth quarter, La-Z-Boy reported sales of $310.7 million and earnings of $13.7 million or $0.26 per share compared with the earnings of $5.2 million or $0.10 per share in last year’s fourth quarter. Our results for the period include a $0.01 per share restructuring charge, primarily associated with the consolidation of the company’s Casegoods facilities, an income of $0.04 per share related to a reversal of valuation reserves on deferred taxes. Since our valuation reserves are based on each separate tax jurisdiction, reversals of valuation reserves are based on whether it is more likely than not that we will be able to now use the deferred tax assets. Additionally, based on current expectations, we anticipate reversing most of our Federal tax valuation reserves during the latter part of fiscal year 2011. For the full fiscal 2010 year, we reported sales of 1.18 million and earned 32.5 million or $0.62 per share versus a loss of 122.7 million or a loss of $2.39 per share in fiscal 2009. Fiscal 2010’s full-year results include $0.04 per share in restructuring related to the consolidation of the company's Casegoods facilities, as well as costs associated with the previously announced store closures in the company's retail segment. Income of $0.04 per share related to the previously mentioned reversal of valuation reserves on deferred taxes, an income of $0.05 per share in anti-dumping duties received on wood bedroom furniture imported from China. The last years result’s included a number of charges. We had a restructuring charge of $0.24 related to various plant warehouse and retail store closures, a non-cash intangible write-down of $0.85 per share relating to goodwill and trade names, and a $0.15 per share non-cash impairment of long-lived assets related to our retail segment. We also had a $0.74 per share non-cash charge for valuation allowance against the company's deferred tax assets, which was recognized in the second quarter of 2009, and we recorded income of $0.16 per share related to anti-dumping duties. If you do the math above, that equates to $0.57 per share of income in fiscal 2010 versus a loss of $0.57 per share in fiscal 2009. We still feel that our ongoing effective tax rate will be in the mid to upper 30% range, but discrete items and timing differences will continue to affect our tax rate until we are no longer in a cumulative loss position and reverse a significant amount of our Federal valuation reserves. Now, let us shift to the balance sheet. During the quarter, we continue to strengthen our balance sheet and increased our cash by approximately $29 million to $108 million. Our total debt at year-end stood at $48 million, leaving us with a net cash position of $60 million. We also decreased our debt-to-capital ratio to 12.2% from last quarter, and increased the availability on our credit line, which at the end of the fourth quarter stood at $90.6 million. As we reported when we entered into our credit agreement over two years ago, our excess availability fluctuates based on our outstanding borrowings, eligible receivables and inventory, among other factors such as outstanding letters of credit. We will continue to manage our balance sheet with a conservative hand to afford the company with the greatest amount of flexibility. Our inventories for the quarter decreased $134 million from $145 million. As a mention on last quarter’s conference call, we built our inventory in the third quarter in anticipation of Chinese New Year to avoid any service disruptions. Today our inventory has returned to a more normalized level based on current sales trends. Our capital expenses for the year were $11 million, and we expect them to be in the range of $15 million to $18 million for fiscal 2011. Capital expenditures are primarily related to IT upgrades, transportation equipment and ongoing maintenance of our facilities. Depreciation and amortization is estimated to be $24 million to $26 million for fiscal 2011. And finally, I like to give you some color on what would be reasonable to expect in terms of incremental margin. With the transition to Mexico for cut-and-sew kits’ ongoing, coupled with headwinds related to the additional raw material and employment costs, our ability to consistently convert additional sales volume at a constant percentage is still somewhat unpredictable. That being said, however, we believe for every additional sales dollar generated above fiscal year-end 2010 levels, we will return 20% to 30% to our bottom line. The lower end of the conversion reflects the sales increases being more Casegoods oriented, and the higher end of the range reflects the sales growth stemming from our retail segment. Please keep in mind that this range reflects our best estimate of the conversion on incremental revenue for the full year, and we're comfortable with the full-year number. However, based on numerous factors, we may account our quarterly fluctuations in the rate of conversion, particularly during the first quarter when volumes are typically at their lowest for the year, due to the seasonality issues and our plant shutdown for one week for vacation and maintenance. During this period, the conversion is more challenged. As the year progresses, we would expect our performance to improve as the second half of our year is typically stronger than the first. And additionally, as I mentioned a moment ago, raw material pricing will impact the conversion, again, particularly in the first quarter with the delta between fiscal 2010 first-quarter pricing, and our lowest prices over the past 12 months, and fiscal 2011 first-quarter pricing will be at the highest level for the year. We have discussed in the past that raw material prices began to accelerate in the latter half of 2010. To give you some perspective, we believe our raw material costs will be some $18 million to $20 million higher than in fiscal 2010. I will now turn the call back to Kurt for some closing remarks.
Kurt Darrow: Thank you, Mike. We are cautiously optimistic the industry has bottomed out and we're seeing some signs based on our traffic, our written orders, the strength of our Upholstery sales, and some other public data points. However, we do remain concerned about the overall macroeconomic environment, which is still plagued by high unemployment, low consumer confidence, and an unstable housing market. That said, our challenge for all of fiscal 2011 will be to strike the right balance of sales growth and cost reductions against the increased raw material and employee benefit cost, as well as these macroeconomic headwinds. Overall, we are confident that our operating structure, strong brand, and vast network of distribution properly positions us for sustained growth and profitability and we believe La-Z-Boy has the wherewithal and staying power to meet the challenges that may come before us. I would like to take this opportunity to thank our shareholders, customers and suppliers for their support during what was a difficult year, and I would especially like to thank our employees in our various sales organizations. Our team worked together over the course of the past year to execute many important projects that turned this company around, and I deeply appreciate their commitment and dedication to La-Z-Boy Incorporated. We thank you for being on the call today and your interest in La-Z-Boy, and I will now turn things back to Kathy.
Kathy Liebmann: Thank you, Kurt. We will begin the question-and-answer period now. Rob, please review the instructions for getting into the queue to ask questions.
Operator: Thank you. (Operator instructions) Thank you. Our first question is coming from the line of Budd Bugatch with Raymond James. Please proceed with your question sir.
Budd Bugatch – Raymond James & Associates: Good morning, Kurt. Good morning, Mike. Good morning, Kathy.
Kurt Darrow: Hi, Budd.
Budd Bugatch – Raymond James & Associates: A couple of questions. And first, thank you for the incremental information on the incremental margin. That's quite helpful. You talked about the incremental costs, raw material costs, and I assume that that's in addition to the incremental margin costs, but are you taking actions, and if I missed that, please help me to overcome that in terms of pricing or other factors that you can do to mitigate that?
Kurt Darrow: Budd, I would answer that question in the following, we are seeing a lot of volatility in the pricing of raw materials. As an example, we paid in May about 40% plus more from plywood than we did in March, but now that has dropped back down another 15% here in June, and we're trying to get some clarity into the longevity of these up and down. There seemed to be some concern that there wasn't enough capacity on some of these raw materials. More capacity has been brought on. Raw materials are coming down. So as I said in my remarks, we are trying to strike the right balance. If the raw materials stay at a certain level, we believe with our cost saving initiatives and our growth we can overcome them. If they get to a different level, obviously, we will have to take some price increases to mitigate that. We are watching it very closely, and we will probably have to make those decisions in the next month or so about what to do there, but we are conscious of the ebbs and flows of what is going on.
Budd Bugatch – Raymond James & Associates: What's a good way to think about what level over which you might have to raise prices? Is it half of that – half of the projected increase?
Kurt Darrow: I think – our answer to that is it would have to be more than half of that projected increase for us to have to move forward. We still have a lot of cost savings projects outside of Mexico that are coming online, and as we detailed in our public comments, the acceleration of our cost savings programs, particularly as they relate to things that are dependent on volume accelerate in the second half of the year. So we're trying to watch the timing of those, and the timing of the materials, and I don't want to really pick a number there, but certainly we have an idea where that is.
Budd Bugatch – Raymond James & Associates: Okay, and talking about Mexico, you had previously said about $20 million of savings, and here I think you've characterized it as $15 million to $17 million, based on the current level of volume.
Kurt Darrow: Yes.
Budd Bugatch – Raymond James & Associates: Which has been increasing, so how should we think about that for fiscal 2011?
Kurt Darrow: Well, let me take you back to when we made the decision. Budd if you go back to the date we announced this, which was April of 2008. At the time we said that we were going to save $25 million in total with the two announcements we made. One was the closure of Tremonton; one was the opening and transition of our Mexican facility. We said that $5 million of that $25 million was as a result of the closing of the Utah plant. And at the time we were doing – the volume we were doing in our anticipated volume made up the other $20 million. Our volume from that level of slightly two years ago is down about 17%. So you take the 17% away from the $20 million, and you get into the range we are giving. So it has nothing to do with not getting the cost we want. It all has to do with the size of volume that we're running through the facility.
Budd Bugatch – Raymond James & Associates: Okay. And you think that will accelerate as the year goes on, and how will that rate?
Kurt Darrow: Well, I think the volume will accelerate as a typical year for us. It has historically been given that the back half of the year is stronger than the first, and also I think will become more efficient and more productive at the facility as they get more time under their belt and more training and more experience.
Budd Bugatch – Raymond James & Associates: Okay, just my last area of inquiry has to do about retail. You gave us, I think, 2.5% comparable store sales increase for the system, and I think that was lower than what we saw in the previous quarter, although the hurdle rate was somewhat less onerous. Are we seeing a retail slowdown, and is that something we should be worried about?
Kurt Darrow: Budd, I think there would be two factors there. One, in our own company retail performance, this seemed like a long time ago, but you will remember on our call last quarter, we missed a pretty good opportunity over President’s weekend because most of our stores are on the East Coast, and they were really inundated with snow. And I think the rate of improvement in the retail business probably since the 1st of April has mitigated to somewhat of a flat line from where it was increasing through the holiday season. So I think it is a mixture of a few things.
Budd Bugatch – Raymond James & Associates: Okay, thank you and good luck, and we'll look forward to talking to you soon.
Kurt Darrow: Very good. Thank you, Budd.
Operator: Thank you. Our next question is from the line of Matt McCall with BB&T Capital Markets. Please proceed with your question.
Matt McCall – BB&T Capital Markets: Thanks, good morning, everybody.
Kurt Darrow: Hi, Matt.
Mike Riccio: Hi, Matt.
Matt McCall – BB&T Capital Markets: So, I think I want to – you might have just answered this last one, but I wanted to ask about the trends in June. Did you just say that since April you've seen, what was that? You said the rate of improvement had flat lined, so you'll start seeing growth?
Kurt Darrow: I didn’t make any comment about June Matt. I'm just saying that, you know, our bias is this – the business trends and the economy is not going to jump up and be robust overnight. So, we are looking at a slow, gradual improvement in the economy, and that relates to our business. And we are going now into the seasonally slower months of the year. And even though they are compared against that from a year ago, we're just not seeing any indication that overnight business is going to get substantially better.
Matt McCall – BB&T Capital Markets: Okay, that's fair, and just another follow-up. You said – I understand the way the math works and the 17% volume decline, why you've taken that cost savings or projected cost savings down. Just to make sure I understood one comment, does that incorporate the seasonality? So basically, you're saying this year based on current levels running the seasonality forward, we expect $15 million to $17 million, is that the way to look at that, or is it on today's volume? I just got lost there in the seasonality comment.
Kurt Darrow: No, it would be our internal projections on what we think our volume is going to be for all of fiscal ’11 compared to fiscal ’10, and it would ramp up accordingly, but no, it is not based on the first quarter's volume. It is based on our projection of what our full year volume would be and how many units we would actually manufacture in the Mexico facility.
Matt McCall – BB&T Capital Markets: And so that – you said you're down 17% from that level, so, I'm not trying to get any insight into this year, I'm trying to make sure I understand – down 17%, and use that as the justification for the lower projected cost savings, so that assumes really no growth this year in that facility, yes?
Kurt Darrow: No, let me try to help you with the math. I said we were down 17% from the level that we pegged, when we announced the move to Mexico, and at that time our volume was better, and that time was before the fall of ’08. At that time we had projections for growth. So when we met the projections on $20 million of savings in Mexico, it was based on one set of assumptions about volume. Today we're running about 17% lower than that projection. It has nothing to do with how we ran last year, what we're going to do this year. It is from that starting point 2.5 years ago.
Mike Riccio: And we're not making any projections right now on what our sales growth is, and not going to be this year Matt. We are just – remember we're just saying that because our first quarter is normally our lowest level quarter, you can't just divide our savings by four. You have to take into account the seasonality as well. That is what I am trying to explain [ph].
Matt McCall – BB&T Capital Markets: I got you. The confusing part for me is, you were saying $15 million to $17 million, you have to base that on some type of – some type of top line, and –
Kurt Darrow: And we have. We are just not going to tell you what that is.
Matt McCall – BB&T Capital Markets: Right, but then you referenced the 17%, that's where I – you see where I'm getting locked up? I'll move on.
Kurt Darrow: Okay.
Matt McCall – BB&T Capital Markets: So, the contribution margin commentary was helpful. Can you provide any further detail by segment? The number seems to make sense and it sounds like there's some – just to clarify, I guess, the first part, there are some assumed raw material inflationary pressures, some employee cost pressures baked in, and Mike, I think you said the low end of the range would see more pressure there. Any more commentary around the different segments, and, just, I don't know, directionally, any more help you can provide there?
Kurt Darrow: The only comment I would add to that Matt is we would continue to think about next year still having stronger sales increases in Upholstery than Casegoods. I still think Casegoods is going to lag Upholstery in the industry, and therefore with our numbers, I think Casegoods will start to improve where they have been going backwards here. I'm talking again about the industry, but I don't think they are going to rapidly change overnight, and they have been on a two or three-year decline here overall. So I still think the Upholstery business has a little more upside for next year than the Casegoods business.
Mike Riccio: And the only reason for the range – I mean the discussion I gave on that is Casegoods, as we purchased a lot of our finished goods there is not as much variability in our plant pickup or other costs associated with it. So there is not as much variability on increased volume, whereas in the Upholstery side we have more operations, there is more variability as we increase growth. And then retail, obviously we get both the retail and the Upholstery sales there. So that is why the range has a slight went up [ph] in a range like that.
Matt McCall – BB&T Capital Markets: Right, and to Kurt's point, the Upholstery segment is expected to be a little stronger, and you just stated, I think, that the incremental margin is likely a little stronger there, so maybe that 20% to 30% now seems a little conservative based on those assumptions. It sounds like there's a pretty strong fixed-cost aspect of that business, despite the cellular effort, so, in fact, the question is – is there any further comment by segment that you can provide on the contribution margin front?
Kurt Darrow: No, I don't think there is – this was our best attempt Matt, and the other thing, you know, we don't have a crystal ball and right now it is raw materials. We have given you a range on what we think it could be, you know, and realistically it could be 20% more than that or it could be 20% less than that. We're giving you our best thought at this time with what we know, but I have to take the heads that what we know is not a long term pricing arrangement with any of our raw material suppliers. You don't get 6 and 9 in yearly contracts in today's market. So, in best we have a 60 or 90 day contract and visibility on this. So, (inaudible) about what perhaps the back half of the year is going to look like in raw materials, but as I said on the last call, if there is more demand for raw materials, it must mean the economy is improving a little bit. Then there is more need for things, and so that would be a good sign. This is a very liquid situation right now, and we're trying to manage it to the best of our ability.
Matt McCall – BB&T Capital Markets: Thanks for taking the questions. Not trying to be hard, just trying to get an understanding. Thank you all.
Mike Riccio: We understand.
Operator: Our next question is coming from the line of Todd Schwartzman with Sidoti & Company. Please proceed with your questions.
Todd Schwartzman – Sidoti & Company: Hi, good morning, folks.
Kurt Darrow: Good morning Todd.
Todd Schwartzman – Sidoti & Company: First, Kurt, on the input prices, the example that you gave of plywood seems to really speak to volatility as much as anything else. Is there any single raw material or category that has been more problematic in recent months, that has increased slowly or steadily, that led you to issue that kind of caution for at least the first quarter?
Kurt Darrow: Well, I think there is a couple of issues here Todd that we try to lay out in both Mike’s comments and our press release. You got to remember we're going against in the first quarter, we are not going forward yet, we're going against the first quarter of year ago, when the raw materials were at their lowest point that we have seen in the last five quarters. So raw materials went up, particularly in the second half of last year, and we paid more for raw materials in the third quarter than we did in the second, and we paid more for the fourth quarter than we did in the third. So, sequentially we have been seeing that happening. But now you are comparing the first quarter of our new year to last year's first quarter and the delta change on that is the most significant we've seen in the last 5 quarters, and I intentionally used the example of plywood, because it has been the most volatile, but there is no major component of our raw material that hasn't had some increase.
Todd Schwartzman – Sidoti & Company: Got it, but as the year plays out, I would suspect, based on what we're seeing now with energy prices, the various poly prices would not be expected to be too problematic, or that that – I realize that's subject to change, but is that a fair assessment?
Kurt Darrow: That would be a good thing to see, and that is why we don't want to overreact to do structurally or price increase wise, or anything until we get some – a little more clarity on what that looks like.
Todd Schwartzman – Sidoti & Company: Okay, and also if you could speak to the level, year-over-year, of promotional activity both in Q4 as well as your expectations for 2011?
Kurt Darrow: You have to help me Todd, define what you mean by promotional activity?
Todd Schwartzman – Sidoti & Company: Selling price discounts.
Kurt Darrow: Well, you know it varies by business group and by time of the year. I don't think it is really a whole lot – it is a whole lot different as far as discounts. What I would add is that and we're starting to see this shift back a little bit, but for the majority of last year across all of our companies, we sold a little higher percentage of the starting third of our lines than we did in the previous year. So all the commentary about the customer looking for value, the customer wanting to be cautious with their spending, so we had a little shift in selling a little bit lower priced items in general. Not that we took a lot of discounts, it is just our mix shifted more in line with the front third of our lines in our offerings.
Todd Schwartzman – Sidoti & Company: Okay, and with the supply chain, are you seeing any delays at all in containers coming from Asia?
Kurt Darrow: That is a very good question Todd, we're seeing delays everywhere. We are seeing delays on containers. We are seeing delays from China from lack of available workforce. Again it is a very fluid situation right now, and we had numerous things that are happening and the reliability of our supply chain today is not ideal. A condition of recovering from what happened 18 months ago and trying to get everybody to understand what is the new operating norm, what is the new level. People cut back quickly, they are really reluctant to add back unless they see sustainability and everybody has got a different view of the world. So that is causing these disruptions from time to time in all types of different supply categories.
Todd Schwartzman – Sidoti & Company: Is inventory where you want it right now, particularly on the Casegoods side?
Kurt Darrow: I think Mike’s comment about our inventory in line with sales; we did a lot of work in the last 18 months to get our inventories in line. We took our medicine on some of our old inventory and flushed it out. Our discounting, particularly on our Casegoods business won’t be as high this year as it was last year. So yes, we feel reasonably good about our inventory levels, the quality of our inventory today and the work our team has done the last year in managing that process.
Todd Schwartzman – Sidoti & Company: And on the Upholstery side, what's your average delivery time these days for a custom Upholstery?
Kurt Darrow: That goes back to my earlier – if we have the materials it’s pretty good. If we don’t have the fabric and leather it’s pretty bad. So – but it’s – you know, it’s not an issue with our – it’s everything where it’s only supposed to. We have available inventory of the fabric and leather. We can ship Upholstery goods in three of four weeks consistently.
Todd Schwartzman – Sidoti & Company: And what percentage of finished goods do you have the – all the necessary components for?
Kurt Darrow: It changes so rapidly and some of it is demand, some of it is forecasting, some of it is supplier, and it varies by company. So I don’t really have that number, but I would just say it’s not where we wanted to be overall, but we think before we head into the fall that we’ve made some moves to have our service levels be back to normal, and we’re cleaning up some of the delays we’ve had over the summer.
Todd Schwartzman – Sidoti & Company: Okay, and Mike, I'm not sure if you quantified in your prepared remarks, but I was curious about the level of SG&A in the fourth quarter that was bonus or otherwise performance-based, or just in general, you know, non-recurring, going forward?
Mike Riccio: I did not – we don’t – we have not gone into that kind of detail on that. We do have some comments in our (inaudible) annual report in the 10-K relating to some of the costs in corporate and other that has adjusted for. I think it’s – I think we’ve talked about it being about $5 million to $6 million cost over the full year in that or that section of our income. But, it has been no significant number in the given quarter that would be a callout. It does affect our SG&A, but I’ve not given any clarity on that. It’s not something that I would callout every quarter, although for the full year it’s obviously something that we talked about for the cost.
Todd Schwartzman – Sidoti & Company: Perfect. Thank you very much.
Mike Riccio: Okay.
Operator: Thank you. (Operator instructions) Our next question is from the line of Stanley Elliott of Stifel Nicolaus. Please proceed with your questions.
Stanley Elliott – Stifel Nicolaus: Good morning, thank you all for taking my call. A quick question on the Casegoods side, it looked like revenues were up sequentially, but the losses were down. Was that due mainly to the consolidation that you guys have gone with the manufacturing operations?
Kurt Darrow: I think it’s a number of things. I think the consolidation had some impact. I think in the fourth quarter we also consolidated our Hammary reorganization into the Drew/Lea organization, and moved out some inventory there as well. And so I think we took most of the last year to get the cost structure of our Casegoods business in line with the volume they are doing today and the combinations of the three moves we made with manufacturing, the warehousing, and the consolidation of Hammary we think puts us on a platform or even at this volume we should be able to start earning some operating income in that segment.
Stanley Elliott – Stifel Nicolaus: As far as the commentary on the $5 million of annual savings, have you guys broken out how much was realized this past year, or is that going to be a $5 million net number for next year?
Kurt Darrow: No that’s a 12 month number from when we started the various things and it’s kind of a fluid number. We combined the two facilities, manufacturing facilities starting in the third quarter of last year, and when you start up new product lines in a factory that they never made some orders, there is inefficiencies and things going on early on. And so that took a while to absorb, and we probably got some benefit of that in the fourth quarter as they got more and more efficient, and the other big component of that is we did not vacate our leased warehouse until the end of April, and so we are just starting to get the benefit from that. So the $4 million to $5 million is not all coming in fiscal ’11 to tell you exactly what was in fiscal ’10. I just will be guessing at that and I don’t want to do that.
Stanley Elliott – Stifel Nicolaus: Okay, fair enough. And lastly, are there any updates on the CDSOA? I think there was a case that was unrelated to furniture that was scheduled to go to the Supreme Court and did not end up getting heard by the Court, and I was wondering how – if anything is new on that front.
Kurt Darrow: That’s a very good question. It’s a very complex situation and I don’t want to put myself [ph] as an expert in this, but you are correct in what you stated. There was from a different industry the third appeal on the anti-dumping case. I think it was in ball bearings and the Supreme Court refused to see it. Now if there was no other legal challenges what that would indicate is that a number of – a lot of the money that has been setting aside waiting for these legal rulings would begin to be paid out, but there could be other challenges, there could be other rulings, there could be things we don’t know about, and one thing that we learned going through this process, if you are dealing with a government, things don’t happen quickly. So, you know, we don’t put that in any of our forecast, we don’t put that in any. We would just continue along the business of trying to make irregardless of that money our Casegoods business profitable, but obviously we believe as one of the petitioners, we believe that the Supreme Court’s decision not to hear the case was a correct one, but how that manifests itself and when there will be (inaudible) and everything frankly your guess right now Stanley is as good as mine.
Stanley Elliott – Stifel Nicolaus: Great. That's all I had. Thank you very much, and good luck.
Kurt Darrow: Thank you.
Kathy Liebmann: Thank you.
Operator: Thank you. There are no further questions at this time. I’d like to turn the floor back to management for closing comments.
Kathy Liebmann: Thank you everyone for being on the call this morning. If you have follow-up questions, please give me a call. I will be available this afternoon. Have a good day.
Operator: And this concludes today’s teleconference.